Operator: Good day, everyone, and welcome to the Rambus First Quarter 2009 Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Satish Rishi. Please go ahead, sir.
Satish Rishi: Thank you, operator, and welcome to the Rambus first quarter 2009 conference call. I am Satish Rishi, CFO, and on the call today are Harold Hughes, our President and CEO, and Tom Lavelle, Senior VP and General Counsel. We also have with us Sharon Holt, Senior VP of Licensing and Marketing for the Q&A. The press release for results that would be discussed here today have been filed with the SEC on the Form 8-K. If you want a copy of the release, please visit our website at www.rambus.com on the Investor Relations page under Financial Releases. A replay of this conference call will be available for the next week at 888-203-1112. You can hear the replay by dialing the toll free number and then entering ID number 4808236 when you hear the prompt. In addition, we are simultaneously webcasting this call and a replay can be accessed on our website beginning today at 5:00 PM Pacific Time. Before I begin, I need to advise you that the discussion today will contain forward-looking statements regarding our financial prospects, pending litigation and demand for our technologies amongst other things. These statements are subject to risks and uncertainties, which are more fully described in the documents we filed with the SEC, including our 8-Ks, 10-Qs, and 10-Ks. These forward-looking statements may differ materially from our actual results. Now, I will turn the call over to Harold. Harold?
Harold Hughes: Thanks Satish, and good afternoon, everyone. As we report our results for the first quarter of 2009, it's a good time to consider the year ahead. 2009 will be an extraordinary year. We've seen worldwide economic dislocation, as severe as any experienced in the generation. In the case of the semiconductor market, we've seen the market dealing with over capacity, and tough price erosion really since the dotcom bust of 2001. The transition from 8 to 12-inch wafers, and the continued shrinking of process geometries, has driven an enormous increase in fab output. In addition, the continued integration of functions per chip, such as integrating GPUs and CPUs in a single device, means that at a given performance level fewer chips are required. But, of course, performance doesn't stay fixed in products from PCs to gaming systems to mobile phones, the drive to provide more functions and higher performance, has soaked up some of that increase in production volume. Nevertheless, even with strong demand growth, driven by emerging economies in China and India, the balance still tips towards too much supply. The result has been industry consolidation over the last decade. With a drop in demand in the current recession, we expect that trend to accelerate greatly. Qimonda and Spansion's bankruptcies, and proposed consolidation of much of Taiwan and Iran industry in the Taiwan Memory Cooperation is the latest data point. While painful and difficult, it's only through this rationalization that a healthy and profitable industry can ultimately emerge. That outcome is the best -- is in the best interest of manufacturers and consumers. Despite the severity of the recession, there are already signs that demand maybe stabilizing, albeit, at a much reduced level. Both Intel and Nokia expressed that feeling that we have reached market bottom in demand during their latest earnings reports. For Rambus, the current market dynamics presents challenges as well as opportunities. There is enormous pressure on our customers' R&D budgets. At the same time, their need for greater competitive differentiation has never been greater. Our continued focus on innovation and technology developments help our customers develop differentiated products that will succeed in the market. From a revenue perspective, our royalty-based licensing agreements decline when our customer shipments fall. Nevertheless, our fixed payment licenses and the fact that we typically sign five-year agreements, provides some stability in such times. It's a foundation we can build on in the next upswing in the market. As we've outlined in the past, our business model can be somewhat countercyclical in large downturns. On the legal front, 2009 will be a year of many of pivotal events. We've already seen us prevail in the Hynix one patent in infringement case that Hynix is owing us nearly $400 million on ongoing licensing payments. Hynix has filed notice of appeal, but we believe Judge White, and the juries got it right. And that the appellate court will agree with us as they have in the past. Infineon was overturned at the CAFC. The FTC's allegations overturned the CADC, and Samsung's attempt to import Infineon's findings into its case was also defeated at the CAFC. We prevailed in every one of these cases, and we fully expect to prevail against Hynix on appeal. Though later in the year than we had we hoped, the price fixing trial against Hynix, Samsung and Micron is slated for this year. Given adjoint and several liability, and the potential for trouble damages, the risk for the manufacturers is significant. We believe they'd be better served to settle and work with us as licensees. Our ITC actions concerning NVIDIA, is also calendared for this year. Another important demonstration of our resolve to protect our IT. From all these events, our focus is on building long-term value. We do this first and foremost, through our focus on innovation. As proof of this dedication to innovation, we have 792 issued patents and another 552 pending applications. Our technologies continue to invent the world's fastest, most power efficient memory architectures in the world. To that end, in February we unveiled some of this great work through our Mobile Memory Initiative. This development effort focuses on high bandwidth, low power memory technologies, targeted at achieving data rate of 4.3 gigahertz, and best-of-class power efficiency. With its performance designers can achieve more than 17 gigabytes per second of memory bandwidth from a single mobile DRAM device. That's over 10 times of bandwidth of LPDDR DRAM. These technologies can enable our memory architecture ideal for next generation smartphones, netbooks, portable gaming and portable media products. We showcased these innovations into silicon demo, at design com (ph), as well as Mobile World Congress in February. Our continued financial strength gives us the wherewithal to make acquisitions to complement our existing or extensive innovative development efforts. As an example, we acquired patents from Inapac that broaden our offerings in the mobile memory space. These patented innovations are used in System-in-Package or SiP devices, used extensively in mobile applications. SiP consists of stacked ICs, such as media processor DRAM, and flash memory devices, all in a single package. SiP helps mobile system designers achieve high functionality in a very compact space. Our patents enable SiP devices to be manufactured at very high yields necessary for high volume consumer electronic products such as mobile phones. In addition, we hired Fan Ho, one of the founders and lead inventors at Inapac, to continue innovating in this area. We have technology announcements upcoming from our other focused markets of computing, gaming and graphics, and HDTV, coming up during the course of the year. So, stay tuned for those. In summary, there is great deal of work ahead in 2009, but much to look forward to. Given the tremendous value of the innovations Rambus engineers continue to create, we are very optimistic about the company's future. And with that, let me turn it over to Tom, for an update of legal events. Tom?
Thomas Lavelle: Thanks Harold, and good afternoon, everyone. There were significant events that took place during the course of the quarter that I'd like to review today. The first is, the damages Judge White granted in the Hynix case. Hynix is ordered to pay Rambus $397 million in damages plus interest. The amount of damages is based on rates of 1% for SDR DRAM memory types, and 4.25% for DDR and GDDR memory types for U.S. infringements. We are pleased to have final judgment entered in this case. In addition, the court put in place compulsory license for Hynix's ongoing use of our patented innovations at those same rates. However, there are still issues to resolve. Hynix is arguing it should be allowed to accrue, and not actually pay, the forward-looking royalty payments due to Rambus. We strongly disagree as we state in our opposition brief, this would effectively treat the judgment of infringement as it had never happened. We believe the court should require Hynix to pay the royalties directly to Rambus, or at a minimum to pay the royalties into an escrow account. In addition, while Hynix has filed its notice of appeal for the case, it has submitted in its brief that it should be excused from posting the full $397 million bond. We believe its proposal to bond half the amount, and offer leans against Korean-based assets, for the other half is unsatisfactory and unfairly shift risk to Rambus. This undercuts the purpose of Rule 62, and we believe the court should reject the Hynix's motion. Hynix is contingent that it would be impracticable for them to close the full bond amount is refuted by statements that it's made to the press and in earning calls, where it has said that it has ample financial resources, despite the conditions in the DRAM industry. We believe that the judgment against Hynix in all three phases of the district court proceedings should be affirmed on appeal. However, because certain parts of the judgment were adverse to us, we filed a cross of this appeal this past Friday. Briefing on these issues will occur later this year. In addition, we have filed our notice of appeal in the Micron matter from Delaware, and we expect the Federal Circuit to review both of these matters at the same time. The remaining coordinated case with the DRAM manufacturers before Judge White has been stayed pending the outcome of the appeals. Moving to the FTC. We are pleased that the Supreme Court's decision denying the FTC's request for certiorari, which puts an end to the ill-founded Sherman Anti-Trust allegations against us. While it's frustrating to be forced to spend million of dollars defending ourselves and suffer lost business, while the action is been litigated. It's rewarding to know that this particular matter is behind us. Another significant activity that took place during the quarter was the court's ruling on various summary judgment motions that were argued in the price fixing case in San Francisco before Judge Kramer. One motion was deferred to a later date. But, we defeated the manufacturers' other seven motions, and prevailed on a number of important issues that allow us to move forward towards trials scheduled to begin in September of this year. On April 27, we will be arguing spoliation claims once again, this time in front of Judge Kramer. With regard to the complaint we filed in the ITC against NVIDIA Corporation and other companies whose products incorporate the accused NVIDIA products, remarks (ph) hearing was held in late March, to determine the construction of certain terms in the patent claims we have assorted. Administrative Law Judge ethics will make a determination of how to construe the claims, the claim terms, excuse me, issued prior to the evidentiary hearing that is set for August of this year. While all of our cases are important, this one bear special attention since the patents involved are post formal holes (ph), some with priority dates after 2000. During the course of the quarter, we received a number of enquiries about the status of the re-exam of the USPTO. I would like to provide some perspective here. As part of the multi-pronged approach to delay paying Rambus for our patented inventions, our litigation opponents have filed request with the USPTO to bring into question the validity of some of our patents. We have seen this tactic for years. As mentioned on previous calls, once the patents are issued by the USPTO they are presumed valid. So, all challenges by infringers had been exhausted. One story indicated that it takes up to 6.5 years for re-exam claims to work their way through the patent office. And then the cases can be appealed to the Federal Circuit and possibly to the U.S. Supreme Court. So, this is very long process, and the patents remain valid during the whole process. Of all the re-exams that have been filed pertaining to our patents, the results have been inconclusive thus far. We believe the claims our litigation opponents are making with the USPTO are without merit. I'll remind folks that many of these patents that are part of the re-exam process have been tried in front of juries, reviewed and upheld by the Federal Circuit and found valid and infringed by a district court and juries. We will continue to follow the process. We'll submit our replies to the patent office for required schedule. And we'll keep you informed of any material events related to this activity. Now, I'll turn the call back to Satish to review the financials. Satish?
Satish Rishi: Thanks Tom. As reflected in our press release today, we finished the first quarter with revenues of $27.3 million, down 27% from the previous quarter, and down 31% from the year-ago quarter. As compared to the previous quarter, revenues were lower primarily, due to the collection of the FTC-related amounts held in advance that were collected in Q4, coupled with lower PS3 royalties and lower patent royalties. The decrease in revenue from a year ago was due to the decrease in patent royalties from Elpida, lower PS3 royalties and lower contract revenue. Operating expenses for the first quarter were 45.3 million, down 22% from the previous quarter, and down 31% from the first quarter of last year. These operating expenses include a credit of 13.6 million related to reimbursements from insurance providers and former executives, associated with the cost of restatement, and approximately 8.4 million of stock-based compensation. To provide a better comparison period-over-period, I am excluding these expenses and credits relate from our discussion. Excluding stock-based compensation, restructuring and restatement expenses, adjusted operating expenses in this quarter at 48.8 million, were up 4% from the previous quarter, and down 5% from the year ago quarter. The increase from the previous quarter was primarily, due to a higher year-end related professional fees and litigation expenses. The decrease from the quarter a year ago was primarily due to lower engineering and SG&A expenses offset in part by higher litigation costs. Excluding litigation, our adjusted operating expenses were up 5% from the previous quarter, and down 20% from a year ago. Adjusted engineering expenses at 16.9 million were essentially flat to the prior quarter. SG&A, excluding litigation, at 15.9 million was up 12% due to higher year-end related accounting, and audit expenses and general legal expenses. And litigation at 18 million was essentially flat to the prior quarter. As you'll recall, we provided guidance of 25 to 31 million for Q1, litigation expenses at the last earnings call. At that time, we were expecting the trial on the coordinate cases that start in Q1 and San Francisco pricing trial to start some time in March. With the deferral of these trials, litigation expenses although, high were lower than expected. As compared to the quarter a year ago, adjusted engineering expenses were lower by 26%, primarily due to the reduction in force. SG&A excluding litigation was lower by 10%, due to lower accounting, audits, marketing, trial expenses, and also reduction in force. And litigation was higher year-over-year by 36%. Our adjusted operating loss for the quarter was 21.4 million, or a 126% higher from the previous quarter, and 82% higher than the first quarter of 2008. In May of 2008, the Financial Accounting Standard Board issued FASB Staff Position, FSP, APB 14-11. Addressing the accounting for convertible debt instruments that maybe settled in cash upon conversion. Rambus' zero-coupon convertible notes fall within the scope of this accounting pronouncement. In accordance with the new accounting pronouncements we are required to value and bifurcate the convertible into two separate components, a liability component, and an equity component going back to the date of issuance. The liability component is based on fair value of a similar liability, excluding the equity conversion feature. The equity component is a difference between the initial proceeds that we received from the convertible debt issuance, and the amount allocated to the liability component. If that excess is treated as debt discount and is amortized as a non-cash interest charge over the expected life of the instrument which was five years at issuance. In addition, because of the retrospective application of the pronouncement we run this as recap the financials to reflect the adoption of FSP APB 14-1. All this to explain to you that in this quarter, we have a 2.7 million of non-cash interest expense, and we have 4.8 million on non-cash interest expense from the previous quarter, and 2.9 million of non-cash interest expense in the quarter a year ago from the application of this accounting pronouncement. Moving onto something more interesting. Overall cash, defined as cash, cash equivalents and marketable securities, excluding restricted cash was $348 million, an increase of $2 million from the fourth quarter of 2008. We received 5 million as reimbursement from a insurance carrier, and 4.5 million in settlement from former company executives. In addition, we also paid $2 million to settle the derivative law suit. As of this quarter, the face value of the convertible debt outstanding is $137 million. But, the net amount has been re-classed to reflect the debt discount. So, on our balance sheet we are showing a smaller number than 137. We are showing 128. But, our net cash position, which has to calculate to be at 348, less 137 is $211 million. And we are very comfortable with our liquidity and our cash position as of today. Tom has already talked about the Hynix situation and the bond. When Hynix post the bond, we will not be able to recognize that amount on our financials, until the appeals process is complete. Similarly, we will not be able to recognize the revenue for the compulsory license if it's placed in escrow until the appeals process is complete. But, we may be able to disclose the amounts received in escrow every quarter. However, posting of the bond and delivery of the compulsory license will give substantial assurance to the company that its significant credit risk has been reduced. Now, I will give you some thoughts regarding the second quarter. This guidance reflects our reasonable estimates and our actual results could differ materially from what I'm about to review. We expect second quarter revenue to be between 27 million and 30 million. We expect operating expenses, excluding stock-based compensation to be between 43 million and 48 million. And this number includes an estimate for litigation expenses of between 12 and $16 million. Litigation expenses are difficult to predict, because we do not control timelines and requests from the courts, nor do we control the actions that are adversary is going to take, which may cause to incur additional and fine (ph) expenses in any particular quarter. Before we open the call for questions, we'd like to address a few enquiries we've received from shareholders via email or through our website. So the first question that I would like to have addressed is the question is, it's been a number of years since the last licensing agreement was signed. Why are you unable to sign licensing deals, particularly now that the FTC case is closed?
Sharon Holt: I'll take that one Satish. I am going to assume the question is about patent license agreements, as we have signed a number of technology license agreements over the past few years with Toshiba, Panasonic, Sony, IBM and other customers. The last new patent license agreement was signed in January 2007, although we have amended other agreements more recently. We continue to engage with a number of potential patent licensees. Frankly, we could have been closing more new agreements and we could still do so today. But, we have to consider whether the terms today would need our business objectives, or whether we are better off waiting and creating conditions that improve the churn. We also have to consider the impact on existing licensees, and the potential risk to our ongoing litigation. While we have satisfied the FTC's Anti-Trust allegation, potential licensees can always look for other reasons to delay. As you know, the next phase of the DRAM patent infringement cases have been delayed, pending resolution of the conflicting conclusions on spoliation, between the Delaware and California courts. We nevertheless believe that essential licensees, as well as their customers, and those who benefit from the use of our technology in consumer products, will be better served if they voluntarily enter into a license with us, as opposed to having the court impose a compulsory license on them, as well as case for Hynix.
Satish Rishi: Thanks Sharon. The next question is how do you expect DRAM manufacturers to build products based on your new initiatives, say, such as Mobile Memory Initiative, if you continue to litigate with them?
Sharon Holt: I will take that one too, Satish. Our focus is on the long-term. We're planning for success, and we fully expect to ultimately license the DRAM manufacturers. The premise of the question is spot on though. We will need the DRAM manufacturers to produce the solutions we define. In fact, as we introduce new technologies, our interest and those of the DRAM manufacturers are very well aligned. We want them to benefit from the licensed relationship with Rambus, both from the standpoint of having access to breakthrough technologies, and in terms of sustainable financial success. But, we can't stop innovating and wait until there is resolution of the current litigation. Doing so, would cause a huge gap in the solutions from our innovation efforts that could last for many years to come. We have to keep innovating, and we have to plan for success. And that's why efforts such as our Mobile Memory Initiative and the other technologies we will announce later this year, are so important. They showcased our capabilities and inventions, and provide us a vehicle for a continued dialogue with the industry, which is critical to our future success. In the meantime, we continue to continue be engaged in active dialogue with the DRAM manufacturers, including some of those in the litigation. For instance, Samsung continues to ship XDR DRAM, even though they are involved in litigation. We want to work with these companies. And this is reflected in how we treat them in our communication. We sit in the middle of complex echo system, where we need to poll for our technologies from consumers, device manufacturers, as well as chip suppliers to make it all work. We want them to understand that Rambus is continuing to innovate, and that as a licensee, there are many ways in which we can help them move there roadmaps forward in new business and prosper.
Satish Rishi: Thanks Sharon. Let's take one more question before we open the call. The question is what do you see as the prospects for settlement on going into the price fixing case in San Francisco?
Thomas Lavelle: Satish, this is Tom. I will take that one. Of course, we're always hopeful of settlement, and we are working very hard to that end. As we've outlined in the past, we are making good progress on the legal front with the final judgment in the Hynix funds (ph), with putting the Sherman Act allegations by the FTC to rest finally, and overcoming the summary judgment motions in the price fixing case itself. The decision in the Delaware case, spoliation ruling, has delayed many of the ongoing proceedings. But, we believe we can overturn that decision on appeal. As a whole, the legal actions are moving forward, and that helps increase the likelihood of settlement. Word of caution however, we do not control the pace of the courts or the actions of our litigation opponents. As stated in our original compliant in the price fixing case, we believe the conduct of the defendants in this matter deprived Rambus of royalties in an amount to be determined at trial, which potentially amounts to more than a $1 billion. The prospect of trouble damages and joint and several liability create a situation, where we believe the defendants would be far better served settling, rather than going to trial.
Satish Rishi: Thanks Tom. On behalf of the management team, I would like to thanks those who have submitted these questions. We plan to address questions from stockholders as we did today on a periodic basis at this forum. I'd also like to remind everyone that we will be holding our Annual Meeting of the stockholders next Thursday, April 30 at 9:00 AM at Cabana Hotel in Palo Alto. Operator, well, we are now ready to open the call for questions.
Operator: Thank you. (Operator Instructions). We'll go first to Michael Cohen with NBC Financial Research.
Michael Cohen - NBC Financials: Hi. Thank you for taking my call. In the April 7 announcement of the patent acquisition from Inapac Technology, I was wondering were there any licenses that went along with those patents that you also acquired.
Sharon Holt: So Michael, this is Sharon. No, we just acquired the patents. And we're in the process of bringing them in, adding them to our portfolio, and assessing what we want to do in terms of continuing to develop the technologies and licensing them on ourselves.
Michael Cohen - NBC Financials: Okay. Did...
Harold Hughes: Just to add further, Inapac had what we would call a product business.
Michael Cohen - NBC Financials: Okay. So, they didn't have existing licenses out there?
Harold Hughes: Yes.
Michael Cohen - NBC Financials: Okay, great.
Sharon Holt: Yeah. I'll just add Michael, as Harold mentioned during his prepared remarks we also brought over one of the inventors when we acquired the patents we hired Fan Ho into our own research and technology development organization to help us continue to move that technology forward.
Michael Cohen - NBC Financials: Great, fantastic. And my next question would probably for Harold. And this is the question I've asked in the past, and I periodically come back to. We heard about the systems level licensing strategy, I guess, that was in the first half of 2005. And then, I've periodically asked it, if it's still on the table. The last time I asked it is I said I hadn't really heard anything about it. And I was told that that was just me not noticing, and that it's still on the table. And I still haven't really heard anything being talked about it from the company. I was wondering, is the systems level licensing strategy is still there, especially with regard to PCs?
Harold Hughes: Sharon?
Sharon Holt: Michael, I will take it, and Harold may want to add some comments as well. One of the things that we continue to do as we renewed our licensing forward is obviously to take a look at what's in our portfolio, and where we believe we can best focus our licensing efforts to monetize the patent portfolio that we have. Most of our efforts over the last couple of years have been focused at the semiconductor level. We will certainly, continue to look for opportunities. But, it's really an issue of prioritization. And we believe that our efforts were better spent elsewhere.
Harold Hughes: I would also recall -- I would point out, and I think we've discussed it on previous calls that the LG-Quanta Supreme Court decision has complicated our go-to-market strategy, vis-à-vis the system licensing. We haven't given up on it. But, I think we need to be very creative in albeit at the same time, cautious as we go forward, Michael.
Michael Cohen - NBC Financials: Okay. And I do acknowledge that LG-Quanta changed the patent exhaustion issue. It seems like I guess, how come we haven't seen prior to that decision even, and instead of being provided, the systems companies to only use licensed DRAM, in that way kind of get the manufacturers into a pinch here where the customers themselves are actually demanding that they take license with you.
Harold Hughes: Well, as you'll recall, that is the basis of the Fujitsu deal. That's how we went forward. Fujitsu pays less to the extent they use licensed DRAM.
Satish Rishi: That is the 10% we had followed.
Sharon Holt: I think the other thing that I would point out there Michael, I mean, if you look, a lot of our efforts in terms of trying to drive adoption of our technologies in the market are focused with system companies as they in many cases are the ultimate benefactor of some of the new technology Rambus creates. And we do spend a lot of time in the various markets. We serve with the system companies trying to show them how our innovations can help there end products, which certainly, has the effect of creating pull. They go to their chip suppliers, whether it's the memory guys or A6 (ph) suppliers, to create demand for Rambus' technology. That's the relationship we have to be mindful of, in order for our long-term success to happen. In many cases we want to establish very positive relationships with the system companies. And so we have got to look at that as we also consider our licensing strategies.
Michael Cohen - NBC Financials: Okay. Has there been any notices of infringement sent to any systems company?
Sharon Holt: We don't comment on to whom or how many notices we've sent out.
Michael Cohen - NBC Financials: Okay. Is there anything in the Intel or AMD licenses that would prevent the system level strategy with regard to PCs in terms of them trying to indemnify their customers?
Thomas Lavelle: No, there is nothing. This is Tom. There is nothing that would prevent us from doing that contractually, that's for sure.
Michael Cohen - NBC Financials: Okay.
Thomas Lavelle: But, as Harold said, we have to be creative and careful moving forward on a consistent strategy to the extent we do it at all.
Michael Cohen - NBC Financials: And my last question, as I guess, to you Tom. You mentioned that the damages in the upcoming Anti-Trust trial could the actual damage is free traveling could be more than a billion. In the court documents I saw that to be over 4 billion. And I'm kind a wondering, why in your comments you were only saying a billion, as opposed to 4 billion actual?
Thomas Lavelle: The numbers, obviously, have to be proven at trial. We have our numbers that you saw in court. And we're intending to prove that number.
Michael Cohen - NBC Financials: Okay, excellent.
Thomas Lavelle: But, that's just rob (ph) as it has, its maybe as a non-math major number, it goes into billions. Also they run into each other from me. But, it's a very large number, is the point. And that's before traveling as you pointed out.
Michael Cohen - NBC Financials: And I'm very much looking forward to that trial. And I thank you very for your answers. Thank you.
Satish Rishi: Thank you.
Sharon Holt: Thank you.
Harold Hughes: Thanks Michael.
Operator: (Operator Instructions). We'll go next to next Hamad Khorsand with BWS Financial.
Hamad Khorsand - BWS Financial: Good afternoon, guys. Just wanted to get a understanding, in Q2 with your legal expense guidance of 12 to 16 million, what's exactly going on? Because it seemed like a lot of your cases won't occur until Q3?
Thomas Lavelle: I will, this is Tom, Hamad. Good afternoon. As you may know in getting ready for two major trials, which we are looking at right now specifically, the ITC trial it's a evidentiary hearing. But, it's for all intents and purposes of the trial, in August third week of August, I believe its August 17 in Washington DC, that's an extraordinary amount of work that has to be done to prepare from depositions through document productions, through document review, to getting experts ready to go. All those expenses are ongoing almost from the day you get started with an ITC case. So, that's a huge case in terms of pushing it forward, because we filed it in Q3 of last year. And it will be in trial in Q3 of this year, which is extraordinarily fast in the legal world. In addition to that, we have the San Francisco price fixing trial, which is currently scheduled to start September 28 in San Francisco. So, those are the two major trials, in addition to the appeals, the motions, all the other activities going on with the cases that, we continue to push forward. We also, by the way, have an NVIDIA Northern District case that on which discovery continues. So, there is an awful lot of legal activity that precedes a major trial. And we have two of them coming up in the relatively near future for us.
Hamad Khorsand - BWS Financial: Okay. And then, looking at your operating expense and then with your debt that you would need to borrow your price on the pay-off in February. How comfortable are you guys with the amount of cash you have? I mean, if you back that out your net cash was significantly less than what the cash balance is?
Satish Rishi: Well Hamad, our net cash is $211 million.
Hamad Khorsand - BWS Financial: Yeah. But, you are generating OpEx of, let's say, you said 40 million. That gives me by five quarters of cash.
Satish Rishi: That's, the amount of that is all the OpEx is cash expense. If you look at our burn rate, our burn rate is a lot lower than our cash expense. So, I think if you're doing the math, you don't look at OpEx, you look at what you're burning in cash. And you'll see our cash flow statement next week when we file our 10-Q. In the last quarter, our cash flow was about 10 to $12 million in Q4. That is probably investing (ph) would be would be next quarter. So, we are very comfortable with our cash position.
Hamad Khorsand - BWS Financial: Okay. Thank you.
Satish Rishi: Welcome.
Operator: And there are no other questions at this time. I'd like to turn the conference back to our speakers for any closing remarks.
Satish Rishi: Thank you all very much for your questions and your continued interest. We look forward to seeing many of you at our annual stockholders meeting next Thursday in Palo Alto. Thank you once again.
Operator: Thank you, everyone. That does conclude today's conference. You may now disconnect.